Operator: Good morning, ladies and gentlemen and welcome to the Siyata Mobile Second Quarter 2023 Conference Call. [Operator Instructions] This call is being recorded on Thursday, August 15, 2023. I would now like to turn the conference over to Glenn Kennedy, Vice President of International Sales. Please go ahead.
Glenn Kennedy: Thank you for joining the Siyata Mobile second quarter 2023 conference call. Today, I’m joined by our CEO, Marc Seelenfreund and we will be available for questions at the end of the presentation. During this call, management will make expressed and implied forward-looking statements within the Private Securities Litigation Reform Act of 1995 and other U.S. federal securities laws. These forward-looking statements include, but are not limited to, those statements regarding future product offerings, the belief that we’re on the path for strong organic growth, the goal to deliver strong year-over-year revenue growth and reach profitability in the coming quarters, the belief that the worst of the pandemic is behind us and that we will continue to see strong sales in all of our product lines and across our various markets and the timing and sale of our rugged handsets to North American and international carriers. Such forward-looking statements are based on the company’s current expectations and assumptions regarding its business, the economy and other future conditions. Because forward-looking statements relate to the future, they are not statements of historical fact and are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict. The company’s actual results may differ materially from those contemplated by the forward-looking statements. We caution you, therefore, against relying on any of these forward-looking statements. The company cannot guarantee future results, levels of activity, performance or achievements. The forward-looking statements contained in this presentation are subject to other risks and uncertainties, including those discussed in the Risk Factors section and elsewhere in the company’s annual report on Form 20-F for the year ended December 31, 2022, filed with the Securities and Exchange Commission. Now I’d like to turn the call over to Marc.
Marc Seelenfreund: Thank you, Glenn. Good morning and thank you for joining the call. Before reviewing the second quarter financials, I want to first share with you that we previously announced two capital raises on June 27 and July 11, which generated a total of $4.55 million in gross proceeds for the company to support its working capital for growth. Then on August 8, Siyata announced that it effected a reverse stock split for 1 to 100 of its common shares to meet NASDAQ minimum bid price requirements. These transactions leave Siyata in a stronger position to grow the business in 2023 and beyond. Now in the second quarter of 2023 ended June 30, we are pleased to report that growth continued to accelerate with a 180% year-over-year increase in revenue compared to Q2 2022, on strengthening sales of our mission-critical SD7 handset and accessories. Adoption of our critical communication devices is expanding. Just as important, the increase in sales reaches beyond emergency services to increase school safety, healthcare, industrial and enterprise use cases among others. Given our performance in the first half of the year and our expanding sales pipeline, we are increasingly optimistic that 2023 will be a strong sales growth year for Siyata. Total revenue was $2.7 million in Q2 2023, compared to just under $1 million in Q2 2022, a 180% increase in revenue. Revenue from the U.S. was 84% of total revenue for the quarter compared to 49% in Q2 2022. Rugged device sales in Q2 2023 are approximately 10x higher than in Q2 2022, $2.1 million versus $220,000, an increase of approximately $1.9 million in the quarter directly attributed to sales of the SD7 handset. Gross margin percentage for Q2 2023 was 29.7% versus 11.2% in Q2 2022. Gross margin dollars increased from $109,000 to $804,000, a $695,000 positive variance, which is greater than 600% increase in gross margin dollars. SG&A expenses are $2.7 million in Q2 2023 versus $3 million in Q2 2022, a decrease of $275,000 or 9%. Adjusted EBITDA for Q2 2023 was negative $2 million compared to negative $3.4 million in Q2 2022, a $1.4 million positive variance in EBITDA, a 41% increase. Working capital as of June 30, 2023 was $3.7 million versus $1.6 million as of December 31, 2022, a $2.1 million increase in working capital. So far this year, for the 6 months ended June 30, 2023, total revenue was $4.5 million compared to $1.8 million in the same period of 2022, which is a positive variance of $2.7 million, a 150% increase. Gross margin dollars were $1.3 million in 2023 compared to $400,000 in the same period of 2022, which is a positive variance of $900,000, a 257% increase. Finally, the gross margin percentage was 29% in 2023 compared to 20% for the same period in 2022, a 45% improvement. Turning over to significant business highlights. We are pleased to report that Siyata has delivered on its plan to build and expand its potential customer base for the SD7 Handset and accessories portfolio. We previously announced that the SD7 has certified and approved for use of the growing list of North American carrier customers, including FirstNet and AT&T, Verizon, T Mobile, U.S. Cellular and international carrier customers, including Bell Mobility in Canada, Telstra, which is the largest wireless carrier in Australia; and KPN, which is based in the Netherlands. We also previously announced that we have expanded our distribution to include strategic resellers, including 2-way Direct and Tango in the United States and Intropia in Belgium. These companies will help us further grow sales of SD7 Handsets and related accessories in their respective markets. And we also announced that Mobile Tornado is the latest PTT app provider to ensure that SD7 Handset will work with its PTT app solution. This foundation of increased distribution is directly leading to many potential opportunities that could be of significant size. We have begun shipping products and an increasing number of verticals beyond our primary focus of first responders, including government, schools, hospitals, utilities, security companies, defense contractors, amusement parks and hotel resorts to name a few. I am pleased to report that, as we expected, the increase in the number of crucial concept trials by our customer base translated into volume growth for our SD7 which was the primary growth driver of our rugged devices and related accessories, increasing nearly 6x year-over-year to $3.5 million in the 6 months ending Q2 2023, compared to $590,000 in the 6 months ending Q2 2022. Having said that, this remains a process. Interest is increasing and demand is growing, but we continue to believe that we are just hitting the tip of the iceberg in a multibillion-dollar industry. We expect even larger volumes will follow as end customers grow to appreciate our unique offering of this new product categories. We also previously announced an exciting new product, the SD7+, which features a wide-angle camera coupled with 4G connectivity that will have traditional body camera functionality as well as real-time situational and traditional tracking capabilities. The SD7+ will be powered with Visual Labs’ innovative body camera software. Visual Labs is a highly respected software company and developer of Android-based body cam software. The company provides the software to public safety, private security and other customers throughout the United States and internationally. As public safety companies include town marshals, city police departments, county sheriff offices, wildlife and other state agencies and federal customers. We expect the SD7+ with body camera capabilities will begin shipping in the coming months. And finally, we recently expanded our sales team by hiring Doug Clark, who previously was the Assistant Vice President at AT&T’s FirstNet. In the brief time that Doug has been on board with Siyata, he has already helped us to develop new sales opportunities. Based on his career experience and positive reputation with our customers and counter partners, and we are excited to have a person of his caliber on our team. Now I would like to pass the line back to Glenn, who will discuss some of the industry trends and market dynamics, that are benefiting our business and an update on our product categories.
Glenn Kennedy: Thank you, Marc. North American wireless carriers have recently delivered mixed results with some carriers beating on sales and earnings and raising profit forecasts to other carriers with in line or better than forecast postpaid net additions, while other carriers shifted to cost cutting to address rising corporate costs and rising interest rates. Importantly, in July of 2023, FirstNet announced it supports more than 5 million connections to more than 26,000 public safety agencies, a gain of about 1,000 agencies during the second quarter of 2023 from the figures they released 3 months earlier. During the second quarter of 2023, FirstNet added 350,000 connections. Siyata works closely with FirstNet and their growth is further evidence that customers are moving towards push-to-talk over cellular solutions in the United States. Looking at our sales funnel, we continue to see strong opportunities in each of our three product categories. First, in our rugged handset product category, we have increased our shipments of the SD7 PTT handset that supports mission-critical push-to-talk to North American and international wireless carriers. We displayed this handset at several trade shows during and after the quarter, including the Critical Communications World Show in Helsinki in May, the NASRO National School Safety Conference in Indianapolis in June and just last week at the APCO 2023 Show in Nashville, Tennessee. The increasing sales, the quantity of new customer trials, the customer feedback at the trade shows and the direct engagement from senior personnel within the wireless carriers have all been strong as these wireless carriers aim to capture new customers who have been using traditional LMR or 2-way radios. We’re also seeing strong customer interest in our VK7 vehicle kit that works with our SD7 PTT handset. Today, we’re active with AT&T, FirstNet, Verizon, T-Mobile, U.S. Cellular, Bell mobility in North America, with Telstra in Australia and KPN in the Netherlands as well as with multiple dealers and distributors in the U.S. and international markets. Our objective remains to expand our launch with additional North American and international carriers and with additional PTT application companies in the future. We’ve seen significant SD7 sales to first responders, schools, healthcare facilities, resorts, municipalities and more. Large U.S. school districts are replacing legacy 2-way radios by purchasing SD7 Handsets to use throughout the schools they serve to help keep their students and staff safe. We anticipate more school districts following suit in the current and coming quarters. Recently, we announced a large purchase order for $1.4 million of our SD7 Handset from a single customer. As a result of all SD7 market activity, we’re confident that this will translate into multiple thousands of SD7 Handsets sold throughout the balance of 2023 and in 2024, and we look forward to adding sales of the SD7+ with body camera capabilities in the coming months. Secondly, in our in-vehicle devices category, we continue to sell through our UV350 in-vehicle device with customers in North America and internationally. During the reporting period, we sold UV350 to one of the largest waste management companies in North America and believe this will be the first of many orders from this customer. We are experiencing increasing demand for our unique VK7 vehicle kit, which is the partner product to our SD7 Handset. Several customers in the U.S., including some with yellow school buses, transit vehicles, and snowplows are installing VK7 vehicle kits into their vehicles so that the SD7 Handset can be easily used in the vehicle kit while their staff are in their vehicles. Also in our in-vehicle product category, we received our first order, which was for $1.2 million for a new product called Real Time View, an integrated advanced video monitoring system for emergency management service or EMS providers in their fleet vehicles. And thirdly, in our cellular booster product category. We saw somewhat reduced but still steady demand for cellular boosters throughout North America. And now I will hand the line back to Marc for closing remarks.
Marc Seelenfreund: Thank you, Glenn. I would like to take this opportunity to thank our employees for their commitment. They’ve worked tirelessly to build the company we have today. I would also like to acknowledge and thank our investors who stood by our company despite the turbulent environment. Overall, we are very pleased with the growing acceptance by our customers on our truly unique disruptive push-to-talk solutions and we expect, based on what we are seeing today, growth in our various product categories with especially strong growth coming from our rugged handset PTT product category. We are just beginning to see the rapid adoption of our disruptive solutions and the displacement of land mobile radio as push-to-talk over cellular continues to progress. This should drive meaningful growth for our innovative products. We stand by our previously stated goals of new customer wins, new and existing carrier launches and continuous upgrade to our product portfolio and ultimately, strong growth with the goal of profitability. We will file our second quarter 2023 financial results with the SEC on Form 6-K and urge our listeners to access them from the SEC’s website, search for Siyata Mobile. That concludes our formal remarks. With that, operator, kindly open the call to questions. Thank you.
Operator: [Operator Instructions] Your first question is coming from Jack Vander Aarde from Maxim Group. Your line is live.
Jack Vander Aarde: Okay. Great. I appreciate the update, guys. Just for clarity, Marc, let me start with the question, just so I understand. There are some restated financials. I think it was just related to one item. It’s about $2.7 million change in fair value to a warrant that impacted the first quarter. Is that the only – is it the main change in the restatements?
Marc Seelenfreund: Yes. It’s the main change. It’s a non-cash issue and it was just the way that our accountant or our auditor viewed the way that we had looked at those warrants in Q1. We actually work with Grant Thornton in Q1 to do a review of those warrants but the auditor thought that we should be handling it differently. And therefore, we stated that specific valuation of those warrants. Correct. That’s the only issue.
Jack Vander Aarde: Okay. Good. That’s helpful. And then if I just move forward here, I do notice that you have a – it looks like a bank loan outstanding of just about $700,000, which is related to our recently obtained line of credit factoring agreement to your North America receivables. This was a new development. I wasn’t aware of before. What does this do for you exactly? Does this help boost your sales?
Marc Seelenfreund: Yes. Yes, this is a great development because it’s – it allows us to have factor in and to factor our customers. All of our customers are very high-level rated customers, and it allows us to factor them. We entered into an agreement with a factoring facility that allows us to factor most of our customers and that’s what we’re doing. And we hope that, that number will only grow. It’s not necessarily a bank loan. It’s a factor company loan, and it’s against receivables from specific invoices that we are giving to customers and we think that, that number is only growing. It’s a good thing because it’s just assisting our cash flow in a non-dilutive way. So, it’s a very good thing for the company. And just, Jack, on that note, we are looking to do additional ways of financing with that dilution. I can tell you that we are now looking at doing LC financing for our purchasing. So, between LC financing and factoring, we think that, that will be very, very helpful for the company for our working capital to allow us to grow the company on our growing sales of our products.
Jack Vander Aarde: Okay. Got it. Understood. And then let me just look at the top line. You did $2.7 million of sales in the second quarter. So, significant growth year-over-year, obviously, congrats on that, a big growth sequentially as well, so that’s great to see. Now, if I try to look forward before looking here, I see the $2.6 million last year in the third quarter. So, as we look at – we are halfway through the third quarter this year now, do you expect year-over-year growth in revenue – year-over-year growth and sequential growth in the third quarter? Is it going to be lumpy? Just on any line of sight would be helpful.
Marc Seelenfreund: It’s very hard for us to give projections just because this is – the sales are really ramping up now. And I don’t want to say it’s new to us, but it’s relatively new to us getting this level of sales to the carriers and it’s going really in a great direction for the company. We do hope and our goal is to definitely have double-digit growth on a year basis for sure. I can’t tell you what’s going to be in Q3 or what’s going to be in Q4. But from what we are seeing, we are going to have substantial growth in the coming quarters just based on orders that we have coming in, partnerships that we have already signed. And we think that it’s going to be a very different company in the coming quarters, that the same way that you have seen in the first half of the year, we think that that’s going to continue going forward.
Jack Vander Aarde: Okay. Got it. And there are comments, I guess for – I think it was Glenn was providing comments in his prepared remarks about AT&T, FirstNet, adding – it’s over 300,000 new subscribers, I believe. How do you – who are those subscribers signing up with and what devices are they signing up with? And how do you start to get a larger piece of that with these new FirstNet subscribers turning on?
Marc Seelenfreund: So, the more that FirstNet is lighting up SIM cards, that’s good for us because that’s one of our main customers. They are working right now with companies like Samsung and Apple and a company called Sonim Technologies. Those are probably the three main vendors that they are working with right now. But we think that we have something which is very unique. We are the only vendor that has a device that looks and feels like a radio, but it’s a cellular-based device. Everybody else is selling higher-end smartphone devices. We are the most cost-effective mission-critical push-to-talk device available at FirstNet today, and we see that traction coming in from FirstNet, both in this quarter and the sales that we had in Q2, and we see that coming going forward also. So, as I have said, as FirstNet grows, that’s a good thing for us. And our market is clearly much bigger than just first responders. FirstNet includes schools, it includes government, it includes military contractors, it includes airlines. So, it’s not just first responders on FirstNet that we are working with. It includes utility. There is a lot of various verticals that we are going after, and we believe that it’s a very, very large-scale market. And the more that we get traction, it’s sort of business brings business, the more schools we get, the more schools we can sign up because we have reference customers. The more utilities we get, the more utilities we can sign up because we have reference customers. And we just see that momentum building, and it’s a very exciting time for the company.
Jack Vander Aarde: Great. Okay. And then just in terms of big needle movers, I know this is kind of a domino effect and you are spreading brand awareness, obviously, these are all great additives. Do you have an expectations or any visibility into – I am sure you are working behind the SIM card, with the new sales hires. But is there any – any just sense of when you might see a large volume order arrangement in the near future?
Marc Seelenfreund: So, there are a few very large scale opportunities that we are working with for large school districts, large corporations, just corporations that employ tens of thousands of people, but those are single opportunities that are not even going to get sold in one quarter. If we got a large school district that would need 20,000 units, that would probably spread over two quarters or three quarters, right. So, it’s not that we are going to get one order for 20,000 units, we will get an order for a few thousand units, 6,000 units or 7,000 units over two quarters or three quarters because they have to roll it out throughout the school district, just as an example. But there are multiple opportunities like that, that we are working on. Having said that, we are getting a lot of a few hundred thousand dollar orders, and we are not necessarily putting out PRs in every single order. We can get $50,000 orders, $20,000 orders and $300,000 order. Some of them we put the PRs out, on some of them we don’t. And we are also very happy just continue filling the bucket with these smaller drops because they add up. So, we are seeing both large-scale opportunities. Obviously, those take longer, but we do have trials with multiple large-scale opportunities, and we have ongoing sales to smaller opportunities of hundreds of thousands of dollars or even larger than that.
Jack Vander Aarde: Okay. Great. Well, I appreciate the answers to the questions and great to see the growth. I hope it continues. Thanks.
Marc Seelenfreund: Thanks. If I could just add one more thing, Jack. Look at the market cap of the company right now, we are around a $7 million market cap. So again, we think that we are going after a major market. We already have our customers signed up, the major cellular carriers in the United States. And all of that is that $7 million market cap. And that’s why we feel that we are at a real inflection point for the company and for the shareholders.
Jack Vander Aarde: Understood. Thanks Marc.
Marc Seelenfreund: Thank you.
Operator: Thank you. Your next question is coming from Tom Kerr from Zacks Investment Research. Your line is live.
Tom Kerr: Good morning guys. A couple of quick ones. Can you provide further color on the European markets and those distribution channels? Is that gained traction yet, or is that more of a 2024 type story?
Marc Seelenfreund: That’s definitely a Glenn question.
Glenn Kennedy: Hey Tom. Yes. Thanks for the question. I would say things are growing in Europe, not quite as quickly as in North America, simply because the adoption of push-to-talk over cellular is trailing in Europe relative to what’s happening here in North America. But we see – we are having good conversations with multiple distributors, multiple carriers there. And so we do expect that, that will follow, albeit just a little bit later than what we are experiencing in the North America market.
Tom Kerr: Okay. Great. And a specific question on the SD7+, does that still appeal to all of the verticals you guys talk about, or is it more narrow towards law enforcement or would – but all of the verticals healthcare, education benefit from the SD7+, right?
Marc Seelenfreund: So, we are specifically starting to file some in the education vertical for security within education within schools. So, that security, law enforcement, wildlife, there is hospitals, there is a lot of different verticals that we are going after with this. Not necessarily leisure, which is another area that we started going into now, but there are a lot of large-scale verticals that we are doing trials with right now with the SD7+. And I will give you an example, we have one school district, which has taken from us over 1,000 units of the SD7, they are also going to be probably taking a few hundred SD7+s for various security people that are related to that school district. So, it is related for sure.
Tom Kerr: Okay. Great. And the – just one last financial question, the share count is – has it changed much from the issued statement – was 185.4 million or 1.85 split, is that the current share count as of today?
Marc Seelenfreund: Yes.
Tom Kerr: Okay. Great. Thanks. Alright. That’s all I have for this morning. Thank you.
Marc Seelenfreund: Thank you very much.
Operator: Thank you. That completes our Q&A session. Everyone, this concludes today’s event. You may disconnect at this time and have a wonderful day. Thank you for your participation.